Operator: Good day, and welcome to the Kimco Second Quarter 2017 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. David Bujnicki, Senior Vice President. Please go ahead.
David Bujnicki: Good morning and thank you for joining Kimco’s Second Quarter 2017 Earnings Call. With me on the call this morning is Conor Flynn, Chief Executive Officer; Ross Cooper, President and Chief Investment Officer; Glenn Cohen, CFO; and Dave Jamieson, our Chief Operating Officer; as well as other members of our executive team, including Milton and Ray Edwards. As a reminder, statements made during the course of this call may be deemed forward-looking. It is important to note that the Company’s actual results could differ materially from those projected in such forward-looking statements due to a variety of risks, uncertainties and other factors. Please refer to the Company’s SEC filings to address these factors. During this presentation, management may make reference to certain non-GAAP financial measures that we believe help investors better understand Kimco’s operating results. Examples include, but are not limited to, funds from operations and net operating income. Reconciliations of these non-GAAP financial measures are also available on our website. And with that, I'll turn the call over to Conor.
Conor Flynn: Thanks, Dave, and good morning, everyone. Today I will provide an overview of our strong second quarter performance and share some perspective on the direction of retailing and retail real estate and how Kimco's strategy is designed to thrive in this period of change. We'll also then report on our quarterly transaction activity and describe the overall market environment. Finally, Glenn will provide details on key metrics and our increase to 2017 guidance. I think it is fair to say that the debate surrounding the debt of physical retail is over. The Amazon-Whole Foods transaction, Alibaba's growing grocery concept in China, Walmart's quick-and-collect Pickup Discount program integrated with Jet.com, and Target’s flex format Express, all point to a vibrant, albeit different-looking retail real estate world. In this new world odder, omni-channel is the new normal, and that is where the retail barrels will take place. Those that embrace and master the omni-channel approach that combine technology, social media and physical real estate will thrive. Those that ignore it will do so at their own peril. Omni-channel is a win-win for the retail sector. For the consumer, it provides convenience, lower prices and optionality. For the retailer, it provides opportunity to reach more customers, generate add-on sales upon pick up, reduce shipping costs and limit the number of returns. Physical retail has a large role to play in this effort to bring the best shopping experience for the customer, especially as retailers continue to explore different ways to overcome the last-mile challenge. And let's not forget that notwithstanding the changes and challenges that confront retail, off-price, grocery, home improvement, fitness, beauty and other service retailers continue to thrive in this environment.
S2 waves (07:02),: As our second quarter results demonstrate, our approach is working. Our operating metrics evidence the strength of our transformed portfolio that drives recurring FFO and dividend growth. Our bi-design concentrated portfolio in the top markets is validation that even in uncertain times high-quality retail real estate is still very much in demand. Our leasing volume year-to-date is the highest in our company's storied history, as we work diligently to stay ahead of the changing retail landscape. We executed 26 new anchor spaces this quarter and leased four former Sports Authority boxes. Occupancy increased 20 basis points from the first quarter and the blended spread on new leases and renewals of 10.5% shows the embedded growth in demand for our portfolio. We would not have been able to produce these results if we had not undertaken the strategic dispositions of the past few years to strengthen the Kimco portfolio. Our transformation efforts are paying off as we see significant demand from our diverse tenant base that desire the best locations with the most compelling demographics. While the transformed portfolio continues to see high demand from retailers, it is the advancement of our Signature Series development and redevelopment projects that may be the most exciting aspects of our future growth. Progress continues across the entire Signature Series pipeline as we remain leaser-focused on delivering on these building blocks of long-term growth. Just this quarter, we signed over 400,000 square feet of new leases in our development pipeline. This activity produces real visibility into our future growth. Significant anchor executions had a Fort Lauderdale Dania Beach project bring Phase 1 pre-leasing to over 75% complete. In addition, steel is going up on our two signature mixed-use projects in new replaceable locations: Lincoln Square in Center City, Philadelphia, and our Pentagon City project that sits right above the metro station. This quarter, we also cut the grand opening ribbon for Phase 1 of our Grand Parkway development. Grand Parkway is now over 80% leased and should start to generate significant cash flow in the fourth quarter. Phase 2 at Grand Parkway is also under construction and the combined project is running ahead of internal projections. National, regional and local tenants have opened in our reporting sales volumes that are well above average. We expect this trend to continue as the state matures and more tenants open for business. In closing, while we are excited and confident about our future, we are not naïve about the changes in the retail landscape. We believe that physical store is critical to retailing success. But we also know that formats will change and that will require a significant effort to innovate and redevelop assets to meet demands of the future shopper. Kimco is up to the task. Having the right real estate, the right team and a strong balance sheet is why we believe Kimco is well positioned to deliver growth into the future. And now I'll turn the call over to Ross. 
Ross Cooper: Thanks, Conor. Our second quarter investment activity as well as our activities subsequent to quarter end continued to reinforce the strong demand for well-located shopping centers in the United States. In this quarter, we sold nine centers and two land parcels for gross value of approximately $156 million of which Kimco’s share was $128 million. We were pleased with the volume of activity and pricing, which was at a lowest fixed blended cap rate with several of these assets selling in the 5% range and under the low end of our stated cap rate range. With these sales, we also completed our exit from two non-core states Maine and Louisiana. Year-to-date, the gross value of dispositions totaled $269 million with Kimco’s share at $194 million. Demand remained solid for quality assets, particularly those with the grocery component, even in the secondary markets, buyers range from private institutions, 1031 exchange buyers, pension funds and REITs, both public and private. Given the robust demand and pricing, we've increased our dispositions guidance to match our acquisition estimates of $300 million to $400 million for the year. Our investment strategy remains focused on the match funding of capital from dispositions into stronger properties in core markets with greater growth levels. Our Jantzen Beach acquisition is a prime example of this as we utilize $75 million in 1031 exchange proceeds to fund this acquisition. More importantly, we enhanced our ownership position in one of the premier coastal markets of Portland with a 67-acre asset that has several below-market leases and substantial redevelopment opportunities, including out-parcel expansion and mixed-use potential. Together with the flagship Jantzen Beach property, we now have eight centers and a local office providing a strong presence in the Portland market that creates significant operating efficiencies and economies of scale. We're also pleased to announce the recent acquisition of the Whole Foods and Sierra Trading Post parcels at our Del Monte Plaza in Reno, Nevada. With the acquisition, we now solidify our ownership of the only Whole Foods anchored center in Reno MSA with grocery sales in excess of $1,000 per square foot. Reno has seen an explosion of technological investments highlighted by Google's 1,200-acre purchase of land for a future data center, Tesla's 5 billion Gigafactory and Apple and Amazon factories. These developments have transformed the area and created a strong demand for both retail and additional residential development in the marketplace. As Conor mentioned in his remarks, we're seeing the benefits of our transformed portfolio and continue to look to build on the enormous progress we've made. At Kimco, we view quality as a safe and reliable income stream with potential to grow cash flow and ability to adapt with changing times. Out properties match these attributes more today than ever, and we'll continue to upgrade our property base accordingly. Glenn will now fill you in on the financial results.
Glenn Cohen: Thanks, Ross, and good morning. Our second quarter results present solid evidence than our company comprised of open-air shopping centers continues to perform well. The strength of our real estate portfolio continues to shine as we had another strong quarter led by our leasing activity, which produced positive double-digit leasing spreads and an increased occupancy level. We continue to execute on our redevelopment and development projects, which are about to start bearing fruit and remain confident in achieving our objectives for 2017 and beyond. Next, some additional color on our results. NAREIT-defined FFO was $0.41 per share for the second quarter, which includes $23.7 million of $0.05 per share from the equity-invested distribution received from our Albertsons investment, demonstrating our Plus business at work. We also recorded a $9.5 million impairment charge of $0.02 per share related to an accepted offer on undeveloped land parcel in Canada, which we expect to close by the end of the year. NAREIT FFO per share for the second quarter last year was $0.38 and included $0.01 per share from a preferred equity profit participation. FFO as adjusted, or recurring FFO, which excludes transactional income and expense in non-operating impairments was $160.7 million or $0.38 per share for the second quarter of 2017 compared to $155.5 million or $0.37 per share for the second quarter last year. Our operating team has been successfully executing on replacing the lost NOI from the Sports Authority bankruptcy, which totaled $4.8 million for this quarter. Today, we've signed leases for 15 of the vacated TSA boxes, have eight under LOI negotiations, sold one and have one remaining. Our performance continues to be impacted positively by the strategic initiatives we implemented in the third quarter, which has resulted in lower interest and income tax expense of $7.2 million collectively as compared to the same quarter last year. In addition, with the significant simplification of our business model and constant focus on cost containment, G&A expense was reduced by $2.7 million compared to the comparable quarter. Offsetting these positive factors was lower FFO contribution from joint ventures due to the sale of our Canadian asset and further consolidation of previous unconsolidated US assets. In addition, as Conor mentioned, our development projects are one of the key components of our future growth as we expect to achieve superior yield in NAV creation from these assets. To-date, we have invested over $420 million in our development pipeline, which is non-earn today and therefore causing a short-term drag on FFO growth. However, beginning in the second half of 2017, we will start generating NOI and FFO from the recently-opened Grand Parkway project with other development projects expected to come online in the latter half of 2018 and during 2019. The operating portfolio continues to deliver positive results. Anchor occupancy was up 20 basis points from last quarter to 97.5% and small-shop occupancy increased another 10 basis points to 89.7% for total occupancy of 95.5%. New leasing spread remained strong at 17% and renewal and option exercise produced a positive leasing spread of 7.8%. Retail was clearly changing, but leasing spreads at these levels provides further evidence that the physical store continues to be an integral part of the retailer business model. Our same-site NOI growth came in at 30 basis points, including 20 basis points from redevelopment activity. As I mentioned on our previous earnings call, same-site NOI growth for the second quarter of 2017 was expected to be impacted negatively by the Sports Authority bankruptcy when compared to the same quarter last year, which it was by 210 basis points. Year-to-date same-site NOI growth is 1.2% and we expect stronger same-site NOI growth in the second half of the year. On the balance sheet front, we repaid $405 million of mortgage debt during the quarter and unencumbered an additional 19 assets, bringing our total number of unencumbered assets for 382. Additionally, as of April 1, 2017, we began consolidating a joint venture property in Tustin, California, as we now have expanded our control rights within the partnership agreement. As a result, we recorded the property at its fair value and recognized a $61 million gain on changing control, which is excluded from FFO, while consolidating its $206 million mortgage, which is scheduled to mature in November. We expect to refinance this mortgage at similar proceeds with a new 13-year term mortgage at a significantly lower rate in the current 6.9% level. Net debt-to-EBITDA as adjusted is 6.2 times, and when you include the earnings from our Albertsons investment, net debt to EBITDA is only 5.4 times. We finished the quarter with over $1.8 billion of availability in immediate liquidity, fixed charge coverage in the mid 3 times range and a weighted average debt maturity profile of 8.7 years, one of the longest in the REIT industry. We're increasing our NAREIT FFO per share guidance range to $1.53 to $1.57 from the previous level of $1.52 to $1.54 incorporate the net transaction activity to-date. We're reaffirming our FFO as adjusted per share guidance range of the $1.50 to $1.54, which does not include any transactional income or expense. In addition, we're reaffirming our full year 2017 same-site NOI growth range of 2% to 3% and expect the year-end occupancy to be in the range of 95.8% to 96.2%. Now for those of you who are looking ahead to model 2018 FFO, please keep in mind that we will not include any transactional income or expense items in our initial guidance range, similar to the initial guidance provided for 2017. And now we will be happy to answer your questions.
David Bujnicki: We are ready to move to the Q&A portion of the call. To make the Q&A more efficient, we ask that you have one question with an additional follow-up. If you have additional questions, you are welcome to rejoin the queue. Marlin, you can take our first caller.
Operator: [Operator Instructions] The first question comes from Paul Morgan with Canaccord. Please go ahead.
Paul Morgan: Hi, good morning. Just on the Albertsons’ monetization that you saw in the quarter, I mean do you have a little more color to give there and then how we might think about? Obviously, it's not here in your core FFO, but how we should think about -- what that might look like going forward and how you view it as a source of proceeds for other investments?
Glenn Cohen: Hi, Paul. Good morning. It's Glenn. This came as a distribution from the earnings of the investment itself. Again, we can't predict the timing of when future ones will occur, so we're not going to put it in our guidance. But again, it's part of our Plus business. As you know, as the investments gone along, we haven't had any NOI or FFO from it because of how our investment sits. The cash distribution we received is FFO. We kept it in our headline number. And we'll see how it goes as we go forward. The company itself continues to perform and we continue to watch closely what happens as it relates to their same-site results and keep their [indiscernible] and we'll see how it goes. So we think in our plan that we will have the ability to monetize it during our 2020 Vision, as we've talked about previously.
Paul Morgan: Okay, thanks. And then just on same-store NOI growth, if you look at where you were in the second quarter excluding the Sports Authority and kind of where the first half of the year has shaped up and then your -- compare that to kind of where your full year guidance is, I mean it looks like to kind of hit the midpoint you have to have pretty solid growth in this REITs in the back half of the year. Is that -- could you give any color to see how we're going to get from here to there? Or do you think maybe the low end is sort of more realistic based on where the first half shaped up?
Conor Flynn: Yeah. Hey, Paul. If you look at the economic versus physical occupancy, there is a 320 basis point spread there. That's about 100 basis point wide of a typical run rate. So we see that that leasing that's been executed, but not yet flowing, it's going to hit the back half of the year. Also, the leasing volume that was done in the first half of the year has been phenomenal, and we do anticipate that run rate to continue. So with those two ingredients, we feel confident about the 2% to 3% range that we've reinforced today.
Paul Morgan: So the full range is still realistic for the full year?
Conor Flynn: That's correct.
Paul Morgan: Okay, great. Thanks.
Operator: The next question comes from the line of Craig Schmidt with Bank of America.
Craig Schmidt: Great, thank you. I wonder what specifically might have driven the leasing at Dania Pointe in the second quarter. 
Dave Jamieson:
___ (00:24:16):
Craig Schmidt: And kind of switching gears. You have 15 Whole Foods. There is a lot of speculation that Whole Foods may use these locations as well as retailers’ distribution points. What would go into your possible review of making any kind of physical changes to the Whole Foods’ site that accommodate that in terms of how you get paid?
Conor Flynn (00:25:09): Hey, Craig. I think there is a lot of speculation obviously what the future will hold in terms of the Amazon-Whole Foods merger, and it’s really anybody guess at this point. We like to look Alibaba’s grocery concept in China as a window of what may come, where they integrated both the physical grocery stores as well as the omni-channel approach. And so when you layer on top Amazon pantry to Whole Foods, it really is I think a nice marriage in terms of the shopper that they’re trying to target and it probably lowers the hurdle in terms of people ordering groceries online because they’ll know, produce are sourced from a Whole Foods, which gives that level of comfort as you know its going to be high quality. In terms of the changes to the physical stores, it really will depend on what they do either inside or outside the store. And there is a whole bunch of different prototypes that Amazon has been testing, and I think it will be interesting we’ll have to watch and see of what they want to do at the physical Whole Foods store. And there is a change to the parking lot. They will have to come back to us to make sure that they -- obviously to get our approvals and we may have to restructure leases and gains, some NOI that way, but again it’ll depend on what their strategy is. 
Operator: The next question comes from Christy McElroy with Citi.
Christy McElroy : Just beyond the occupancy impact in same-store NOI, a lot of moving parts there. There has been several retailers to file the only inclusive portion of their stores. How should we be thinking about the impact of rent relief potentially putting pressure on same-store growth? And is that something that which show up in the re-leasing spread calculations?
Conor Flynn: We’ve been very local for the beginning of the year about our bad debt reserve. All of that is really factored into that. And we have been watching closely as a few of the retailers have closed a few stores and are looking to reorganize and come out of bankruptcy, and we feel like we really accounted for that. And so we feel comfortable in terms of our guidance for same-site NOI and continue to see that. Our real estate is really well located with below market leases, and it's hard for retailer to find a better economic deal in these top markets. So typically the rests that they have are very much below market, so they want to hold on in those leases. 
Christy McElroy : Okay. And then just from a demand prospective, in the current environment, do you see any risk to the sort of box mark-to-market projections that you laid out with your 2020 plan? And just given all the preference store closings, maybe you could shed a little bit of light on sort of store opening plans? Any color on open to the eyes?
Glenn Cohen: Yes, I’m glad you asked that. There has been a lot of press covers on closures but very little on openings. And our esteemed research department here has a roll out of actual retailer that we follow that shows over 12,000 stores that are planned to open in the next year and a half. And that I think goes without saying that gives us very confident that if you got the right real estate there is going to be very much demand, and you see that in our leasing volumes. Retailers today are cautious about where they’re going to be opening stores, and if they don't like the real estate, they're not going to move forward with any type of economic deal. So, we feel very confident about the real estate we have and why there is significant demand from junior boxes just this quarter. TJX announced their newest concept, HomeSense, that they're going to be rolling out and have major expansion plans for that. Lidl is coming to the US. It has significant expansion plans. So we continue to see that as big opportunity in addition to the concepts and categories that we've been talking about now that are consistently outperformed and are shining stars really in retail today.
Christy McElroy : Thanks, Glen.
Operator: The next question comes from Wes Golladay with RBC.
Wes Golladay: Good morning, everyone. Can we go back to that bad debt expense comment with the [indiscernible]. Can you give us some context of a typical cycle range for that numbers? That’s 50 to 150 basis points? Or is it 1 to – or zero to 1%? Just some kind of context there?
Glenn Cohen: Sure. So historically, we've used 50 to 75 basis points. But as we looked at our budgets for 2017 coming into the year and looking at some of the things that were going on, we actually increased that to 75 to 100 basis points. And we've been running kind of toward the low end of that range, in that 75 to 80 basis point range so far, so we feel comfortable with what we've put in our guidance.
Wes Golladay: Okay. And then looking at next year, can you kind of give us the building blocks for that? We have some tenants go bankrupt this year. They are still operating, so would be more of a headwind for next year. But at the same time you have this big gap between lease versus occupied that seems to be more back-half loaded. So the net of those two will be more of a tailwind or a headwind for next year?
Conor Flynn: We think it's definitely going to be a tailwind. I mean, when you look at the names that are still reorganizing and coming out, our store closure list is very, very small. And they are typically small shops. So they have a very modest impact, if any, at all in terms of our next year's number. So we continue to look at the growing retailers that we're doing business with and think that is where the exposure we have to some of the watch-list tenants that are closing stores.
Wes Golladay: Okay, thank you.
Operator: The next question comes from Samir Khanal with Evercore ISI.
Samir Khanal: Good morning, guys. I guess, along the same lines of growth to ’18, I mean you guys have maintained leasing spreads that have been sort of the new leases in the renewals that have been in that high single digits. But with where you stand net today and the visibility you have, I mean do you feel that you can maintain that sort of high single-digit spreads especially in the time when sort of CapEx or the percentage of NOI sort of seems to be going up and not only for you guys but sort of the rest of the industry? So I just want to get some color on that.
Conor Flynn: Yeah, with our leasing spreads, we are confident in our below-market portfolio, something that we really thrive on, and that's really helped us maintain these high single-digit, double-digit leasing spreads, and we in the long term envision that that maintaining. That said, spread are lumpy. Spreads are really driven by the population of the leases that are signed in any given quarter. For example, this quarter we had 75 comp deals that we're spreading in the new leases to account for that 17%. There is one large deal there where we combine multiple spaces, if you exclude that, our spreads were over 26%. And when you look at our junior box tenants this quarter as well as our small shops, junior box is combined over 30% and small shops over 15, both of which exceed our startling four-quarter average. So near term we feel good, long term we feel great because of the below-market portfolio. 
Samir Khanal: Second question is on the acquisition of the Jantzen Beach. I mean, if you look at this past that seems like a pure power center there. Are there any future plans to bring in maybe grocery components to this? I'm just trying to figure out where is the sort of the upside growth in this asset. 
Conor Flynn: Sure. And when we look at Jantzen, I mean we really view that as a unique asset. While it is, I guess, technically classified as a tower center, we’ve been agnostic between power, grocery, lifestyle. For us, it really comes down to the real estate and the opportunities to grow that cash flow? So your question on grocery, I mean there is a target in there that sell groceries. It did not restrict bus from putting another glossary store in there which is something that we will definitely consider. In addition to that, there is opportunity to add some [SU] entity. So we look at all of the possibilities for this outsiders assets. Acquiring 67 acres in a market like Portland is very unique and rare. So we get questions and we look at the cap rate for this asset, which is aggressive ongoing in phases, but there are many different metric that we evaluate no more underwriting and potential acquisition, cap rate is being one of them. but we're very focused on the CAGR, the compound annual growth rate, yield on our invested capital and various years throughout that whole period, the mark-to-market spread, which is really critical and when we look at this asset, your anchor space case $0.36 per square foot, in another $3.44, an another $6 a square foot. So well, that doesn’t necessary helps us on our AVR, which is another conversation all together. We’re very confident in the ability to grow the cash flow and asset long-term, and the redevelopment potential of the asset is really something that we're excited about both in the near-term and the longer term. 
Unidentified Company Representative: I would just add to that site checks all the boxes for us in terms of long range, redevelopment as well as short-term value creation. And if you look at where we’ve been more successful are creating significant NAV. It’s the West Lakes for the world. If you look at our pentagon project, those are the exact same type of assets where we have been focused on redeveloping and adding significant value and fits exactly into that malls. 
Operator: The next question comes from Richard Hill with Morgan Stanley. 
Richard Hill : Maybe just following up on the CapEx comment a little bit. You made a comment at the end of your prepared remarks like that was really important about how well your positioned to be prepared for this changing retail environment. How are you thinking about CapEx? Are do you see CapEx going up? Where is that CapEx being spent? How should we think about CapEx in 2018 and maybe even 2018 and beyond?
Conor Flynn: If you look at the CapEx spend on some of our new deals, it really is concentrated in a handful of anchor boxes and a lot of it is due to the fact that where there was a foremost Sport Authority box that has to be split up or that had to be expanded, but that really triggers a significant amount of investment in the actual real estate. We also have been very focused on adding experiential and entertainment retailers to our shopping centers to really drive traffic and create that type of live, work, play environment, and those typically are a little bit more expensive as you convert boxes to whether it's to a movie theater or if it is to grocery concept. I think longer range, if you see those Sports Authorities start to continue to fill up and we really had more of a civilization run rate, you will see that CapEx spends are to come down. And the other piece of it that I think is important is retailers are focused on their all-in occupancy costs, and one thing we love to point to is that we take great pride of being a low-cost provider, and that's something that we continue to focus on as we have significant below-market leases but also we've been investing heavily in sustainability as well as reducing our same-site energy consumption. And if you look back, since 2011, cumulative 18.2% reduction. So that's something that continues to be a focus of ours as we see our retailers focus on their all-in occupancy costs, and if we can provide the low-cost options, they are going to be with Kimco all day long.
Richard Hill : Got it. And so just a follow-up and make sure I understand correctly. CapEx is probably more of a one-off thing to reposition the properties. Maybe we'll see some increase over the next one, two, maybe even three years, but after that it should start to stabilize and maybe even come down?
Conor Flynn: Yeah, I think that's right. It should be even shorter term than that. I mean, if you look at Sports Authority boxes that we work through, we plan on really finalizing that shortly.
Richard Hill : Got it.
Glenn Cohen: And just this quarter we did the Cinépolis deal to Kentlands is really to kick start the redevelopment of the Kentlands market square there. And so it's not picked up in the numbers is obviously adding an experiential tenant like Cinépolis into this center will drive significant traffic and then help with the incremental lift of all the other shops they surround it. So long term, there is other residual benefits that we start to see through these investments.
Richard Hill : Duly noted. Thanks guys. I will get back in the queue.
Operator: The next question comes from Alexander Goldfarb with Sandler O' Neill.
Alexander Goldfarb: Hey, good morning out there. So first question is, on the leasing environment, obviously you guys -- it's been pretty strong this year, and despite the bankruptcies, you improved occupancy. It's obviously a good thing. Is your view that we are through all of the tenant credit issues? Or your view is that this is sort of a well, and after we get through the holiday season, we're going to go through sort of a repeat of all the bankruptcies that we have this year will have another crew next year. So what's your view of as you head to year end in the holiday season for next year?
Conor Flynn: I think we're optimistic. Obviously, you never really know when things are going to occur for the retailers. If it's a good holiday season, I think a lot of the retailers will continue to run the ship. Omni-channel has been a challenge for some as they have to invest heavily in their e-commerce platform. Yet a lot of retailers now realize that they have to invest heavily in their physical store base as well to stay competitive. So it's a balance there. And when you look at our watch list, there are still a few there that we continue to be have concern over, but we've been mitigating the exposure continuously quarter over quarter, and that's really the best way for us to monitor that and continue to mitigate the exposure to some of the retailers that are yet to find their footing.
Alexander Goldfarb: Okay. And then the follow-up to that is, you mentioned the strength obviously at Dania Pointe and Grand Parkway Phase 2. Are these sort of project-specific wins or you think that this is sort of an opening that retailers are willing to do broader development and therefore the rents, et cetera, depends on new development, we could see more development. 
Conor Flynn: I think you're going to see needed development for a number of years. I mean, these are projects that all have a special story of why they make sense and why retailers were eager to get into this – to the development. There really have no whole a lot of spec development out there today. Even the select few development projects that we have picked, we do a huge amount of pre-leasing before we start to go vertical. And retailers like to really work with REITs that are well capitalized that they know they’re going to deliver the project as promised. So all those thing really limit really future development that you will see from retail. 
Operator: The next question comes from Haendel Juste of Mizuho. 
Haendel St. Juste: So I just add and I think about three-quarters of your AVRs tied to centers with a glosser and that about 13% of your AVR is directly attribute to grocers? And so understanding your net positive comments early about the Amazon-Whole Foods merger, I'm wondering are those levels you're comfortable with. 
Conor Flynn: We always look at the grocery store as a traffic driver and something that we've been focused on as we continue to see that the power centers that do not currently have a grocery component are right for adding that type of use to drive more traffic, and you're seeing it with Trader Joes, you’re seeing it with Sprouts and other specialty grocers. And now with Alvey and Needle being very aggressive on their expansion plan, we think there is a lot more room for us to grow that percentage or grocery-anchored centers that we currently have. And so we're focused on that, and the leasing team has done an excellent job as you continue to see that growth quarter-over-quarter. 
Haendel St. Juste: Okay, and what would be the breakdown of your centers that are pure power center and power center with a grocery component?
Glenn Cohen: I don’t have that data on hand, but we can get that to you later. 
Haendel St. Juste: Okay. And then one point of clarification from a early question. I just want to understand the Albertson distribution a bit more. I thought this is going to be a onetime item. It sounds like this could be a recurring dividend but some sort of tightier investment there. I understand you can’t speak up specific timing, but just want to make sure understand that characterization. Is that fair? 
Glenn Cohen: No, I mean we see it. We don’t know it will be future one when that would be, but it’s based on their operations. So we're not predicting it. Again, if it becomes great, if it doesn’t, it's not in our numbers. And we're not predicting it to be in our numbers, but they are in operating business. 
Operator: The next question comes from Vincent Chao with Deutsche Bank. 
Vincent Chao : I just wanted to go back to the CapEx discussion a little bit and just try to understand that how you mentioned some of the things that don’t get factored in or something ancillary benefits of the CapEx spend to the surrounding center, but also just that some of the experiential and some of the format changes do require a bit more CapEx as you go through the transition period. I guess, if you think about your all-in returns on capital at the company level, I mean do you think that returns are holding steady going up or going down over the next two to three years?
Glenn Cohen: I think our returns as far has been holding steady. I mean, when you look at the redevelopment sitting low double-digit returns and our targets has been 8% to 13% on the CapEx spends for deal themselves, again, with some of these elevated spites with the TSA boxes, your turns might be slightly lower, but in general TIM holding steady for the long term.
Vincent Chao : Okay. And for the experiential, are you able to get the same kinds of returns on those investments?
Glenn Cohen: We do, yeah. I mean, those are typically part of the larger redevelopment play as well, so you tend to see those show up in our redevelopment pipelines.
Vincent Chao : Got it. Thanks. And just one last question just on the 12,000 store openings that you mentioned. I was just curious if you had some history on that. Like, has that number been going up or down over the past few years?
Conor Flynn: Yeah, we've been tracking it for a number of years, and it seems to relatively steady. But again, with new entrants from Europe and others, it tends to ebb and flow, but that’s obviously a big number and that we continue to watch. And I feel optimistic that will continue to ebb and flow as new retailers come into the US.
Vincent Chao : Okay. Thanks a lot, guys.
Operator: The next question comes from Ki Bin Kim with SunTrust.
Ki Bin Kim: Thanks. Actually a lot of my questions have been answered already, but a couple of follow-ups on Albertsons. What triggered that distribution? Was it a [indiscernible] on the lake or just on the willingness of Albertsons?
Conor Flynn: They are just basically at the end of the fiscal year, Albertsons had a $1.2 billion in cash on its balance sheet, and so it is starting what to do with it. And I wanted to the first question that was asked to management was the distributions made, is it going to affect their business any way, shape or form, the answer was no because liquidity has and so was approved by the board last month.
Ki Bin Kim: Okay. All right. And in terms of the CapEx, I know we've talked about it really a lot, but if you look at some of the leasing that you've done and what's in the pipeline, at least for the foreseeable future there is kind of 30%-ish of rental value for new leases. Is that an appropriate run rate? Or do you that -- coming down or up?
Glenn Cohen: It depends on the deal. It varies on what you are doing with these boxes. If your backfilling the existing box with the dry news, the number is going to be slightly less with the Sports Authority. And we reiterated a couple of times now that when you combine spaces there, they’re going to be slightly elevated or if it’s an experiential. If you are adding a grocery there, you're going to be spending a little bit more converting from the dry to a wet use. So it's really dependant on the type of deal you're working on.
Ki Bin Kim: Okay. Is there a median dollar per square foot that you can talk about? Just trying to get a just very general sense of what it means on a actual dollar basis per square foot.
Conor Flynn: Yes, it really does vary drastically depending on what the previous use was and what you're changing it to. So there really has, is it's been all over the math.
Ki Bin Kim: Okay, all right. Thank you, guys.
Operator: The next question comes from Floris van Dijkum with Boenning.
Floris van Dijkum: Hey, guys. Thanks for taking my question, a quick question on the balance sheet and maybe on dispositions. As you look at the stock price and you notice the discounts, does that make you want to increase your dispositions? I know that you've increased your dispositions guidance slightly for the year, but why not be more aggressive based on where your stock is trading?
Glenn Cohen: Yeah, I mean we constantly are evaluating our portfolio. We look at it every week, every month to see which assets we believe have long-term, upside redevelopment potential, where the marketplace is valuing some asset, and we do have a plan in place to execute on the remainder of this year. We'll start to look at a modest level for 2018. But we think that the transformation that we’ve done over the last few years really puts out portfolio in great shape and we do obviously look at the stock price frequently, but we don’t want to make long-term decisions based upon a short-term impact on a stock price in our currency. So we’ll continue to evaluate where we are, but we’re very satisfied with the portfolio. 
Conor Flynn: And we did for our disposition guidance. 
Floris van Dijkum: So maybe I guess as a follow-up in terms of the growth and getting back maybe to Jantzen Beach as well. Obviously, that was a lower cap rate but there seems to be some inherent growth. Is this sort of the kind of opportunities that you're looking to pursue going forward? And again, you’ve matched your acquisitions and dispositions a little bit so far this year, but can we expect perhaps another big Jantzen Beach type acquisition to hit in the second half of this year. 
Conor Flynn: To answer the first part of your question, absolutely this is the type of asset that we're looking for. It’s very difficult to find. I mean, we really raised the bar on the criteria that we need to hit and the boxes need to check in order to move forward, and this one really did check all those boxes. So there is not many of them out there, but this was one that was felt was – will really fit or we will have to be capitalized on it. You’re absolutely correct. So far, the first half of the year, we’ve almost matched dollar for dollar on the disclosed acquisition, and we anticipate the same thing for the second half of the year. We are evaluating a couple of opportunities, one in which we think will probably strike in the latter part of the year that also is very exciting opportunity with redevelopment potential, and we’ll continue to execute on the dispositions upon that. 
Operator: The next question comes from Linda Tsai with Barclays. Excuse me, can you hear, Linda Tsai? You cannot proceed with your question?
Linda Tsai : Glenn, there is been upcoming lease accounting change that seems to impact retailers the most as it relates to putting the value of the lease as an asset on the balance sheet. Is there any sort of material impact to your reporting as a land lord?
Glenn Cohen: No, the leasing is not really going to impact us very much. We continue to analyze it. When you get into 2019, these issues around capping of internal costs and the way that that structure, and that is something we’re continuing to evaluate just the way our peers are, then we’ll have to make decisions about how that gets handled. But at the moment, we think we had it very pretty well covered. 
Linda Tsai: Okay, thanks. And then, Conor, what are your high-level thoughts on the Whole Foods acquisition by Amazon? And then relatively, are there grocers you would highlight as having done good job of investing an omni-channel?
Conor Flynn: As I mentioned earlier, I really think the Whole Foods-Amazon combination is one where they see the benefit of physical retail and they can layer in the Amazon Pantry on top the Whole Foods. So I think what they've seen is the demographics. The overlay from the Amazon Pantry shopper to the Whole Foods shopper is very, very similar. So it gives them the ability to understand their consumers even better. You're going to have to wait and see obviously in terms of what kind of changes they’re going to make to the Whole Foods prototype. But I just see it as a natural fit for them as they continue to want to try and expand into physical retail. They’ve done it with the book store. Now they’re doing with the grocery store. And I think that Whole Foods is a high-quality brand that gives them the ability to use that to their advantage. When people are shopping online, if they are not sure where the produce is sourced from, if they know that Whole Foods is the one filling their order, they probably get the benefit of the doubt that it's going to be high-quality produce.
Linda Tsai: Thanks. And then are there any grocers you'd highlight as having done a good job in investing in omni-channel?
Conor Flynn: I think Albertsons with the Safeway.com and the home delivery has been heavily invested and doing it for a while now. A lot of – Amazon, don’t forget, has been trying to do grocery online for almost 10 years now and with somewhat limited success. So we'll continue to watch that. I think Walmart has done a very strong job in terms of investing in the omni-channel, if you see their click-and-collect program. And I am amazed that Walmart is the only one that offers a further discount if you buy it online and pick it up in the store. There are so many benefits to getting someone into the store, where they see the merchandise, there is a likelihood that they’re going to add on an additional item, the likelihood that they are going to return the item drops off a cliff. So I could see that being the way with the future where physical retailer start to wake up and realize the power they have if they are able to generate that type of the traffic and offer a discount to get them to come and collect it at the store.
Linda Tsai: Thanks.
Operator: [Operator Instructions] We have a follow-up question from Christy McElroy with Citi.
Michael Bilerman: Hey it's Michael Bilerman for Christy. Conor, I’m wondering if you can expand a little bit on Jantzen Beach from the perspective of competitive bid process, a fully marketed deal. It appear to be a lot of institutional interest in the assets, yet a REIT who obviously was trading with from a currency perspective for the no valuation came out on top and paid the highest price. I guess, how do you think about trying to have leveraged that private capital or institutional capital to help justify private market value of assets when the shops are trading at big discounts to NAV versus being the highest price and buying it wholly on the balance sheet. And I recognize there are some 1031 proceeds, but that could have been done on a different asset if you wanted. So can you just help us navigate the decision making that you guys had?
Conor Flynn: Sure. We covered, I think, a little bit of what you asked earlier, but we look at the real estate and just get very excited about the long-term redevelopment opportunities. As I mentioned before, when we've created the more shareholder values in these larger real estate parcels that are in-fill locations that have significant barriers entry with tremendous upside in terms of redevelopment potential. So, yes, we look at the going in cap rate and we look at the compound annual growth rate and see what near-term opportunities exist, but the really exciting part about this asset is it's over 60 acres in Portland, which can you imagine trying to assemble over 60 acres in Portland today? And it's got flexible zonings. It’s actually permitted to do residential on site, and it’s planned to have a light rail station to it in the future. All those things add up to significant upside in the long term that creates shareholder value for us. And so, when we look at real estate, we want to focus not only on the near-term value creation opportunities but the long term value creation opportunities. And yes, there was a competitive bidding process. Yes, there was a lot of institutional interest in it because, as you know, the best real estate today is still very much in high demand and we thought that it was a perfect fit. We have an office located in Portland. We don’t have to add any G&A to manage the asset. We have significant redevelopment capabilities on the West Coast. And so when you combine all those things, it just felt like here was the perfect fit for us. 
Glenn Cohen: Yes, the only thing I would add to that, which Conor pretty much mentioned, but when we look at ourselves compared to some of the other bidders there, having an office in seven other centers really gives us an advantage and able to utilize our economies to scale. So when you're deriving an NOI and capping that value, I mean most buyers will typically utilize a 4% management fee coming out of their expense line, which in this size deal is about $400,000 a year. We don’t need to add any staff or open any additional office in order to operate this asset. So when we look at our actual yield on this, its actually it’s substantially higher than these low going-in cap rates that you would utilize sort of large surface. 
Michael Bilerman: Did you explore using institutional capital as a partner or this was -- your view is I want to control this whole things like buying your partner Dania, you rather have full control of these sites. I’m just trying to…
Conor Flynn: We do have partners that would love to continue to grow with us. We talked about it internally, and we felt that given our presence in the market and the proceeds from the dispositions we were using, we wanted to control the whole thing. An asset with this type of upside, we’re greedy, we want 100% of it. 
Michael Bilerman: Do you think in terms of dispositions that you would earmark any sort of higher-quality assets at low cap rates to sort of justify the private market pricing as arguable the public buying at the highest price, lowest cap rate is not justifying where cap rates are. So I don’t know if you have a desire to try to bring in institutional capital to help provide a little bit more color as to the transaction market and values.
Glenn Cohen: We have sold some very high-quality assets. Several of our dispositions this quarter were in the 5 cap range. I mean, maybe we can highlight those more specifically. But we think that the market has sort of shown that for high quality assets buyers are willing to pay for it and there is plenty of capital chasing of those assets. But in terms of bringing in partners to some of the assets that we own a 100%, we really want to control as much as the high-quality real estate that as own as possible. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Mr. Bujnicki for any closing remarks.
David Bujnicki: Thank you very much and we appreciate everyone that joined us on our call today. Have a good day. 